Operator: Good day, ladies and gentlemen, and welcome to the Ashland Global Holdings, Inc. Third Quarter Earnings Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to introduce your host today’s conference Seth Mrozek, Director of Investor Relations at Ashland. Sir, you may begin.
Seth Mrozek: Thank you, Justin. Good morning everyone and welcome to Ashland's third quarter fiscal 2019 earnings conference call and webcast. My name is Seth Mrozek, Director, Ashland Investor Relations. Joining me on the call today are Bill Wulfsohn, Ashland's Chairman and Chief Executive Officer; and Kevin Willis, Senior Vice President and Chief Financial Officer. We released preliminary results for the quarter ended June 30th, 2019 shortly after 5:00 PM Eastern Time yesterday, July 30th. Additionally, we posted slides to our website ashland.com, under the Investor Relations section and have furnished each of these documents to the SEC in a Form 8-K. As a reminder, during today's call, we will be making forward-looking statements on a number of matters, including our financial guidance for fiscal year 2019. These forward-looking statements are subject to risks and uncertainties that could cause future results or events to differ materially from today's projections. We believe any such statements are based on reasonable assumptions, but cannot assure that such expectations will be achieved. Please refer to yesterday's slide presentation for a fuller explanation of those risks and uncertainties and the limits applicable to forward-looking statements. Please also note that we will be referring to certain actual and projected financial metrics on Ashland on an adjusted basis, which are non-GAAP financial measures. We will refer to these measures as adjusted and present them in order to supplement your understanding and assessment of the financial performance of our ongoing business. Non-GAAP measures should not be considered a substitute for or superior to financial measures calculated in accordance with GAAP. The most directly comparable GAAP measures as well as reconciliation of the non-GAAP measures to those GAAP measures are available on our website and in the appendix of yesterday's slide presentation. With that I will turn the call over to Bill.
Bill Wulfsohn: Thank you, Seth, and good morning everyone. In my remarks this morning, there are three key themes I would like to cover. First, we have taken action to offset areas outside of our control to stabilize earnings in a very difficult environment. As largely anticipated when we established our annual plan, we have been impacted by the strengthening of the U.S. dollar and the loss related to the Colgate-Gantrez oral care reformulation. Now more recently, unlike others, we have been impacted by market demand weakness and negative trade dynamics. More specifically, impacting our demand was a weak season for sunscreen products in the U.S. and Europe and also new tariffs for materials exported out of China. The 25% tariffs impact of the competitiveness of certain sunscreen and other products we export into the U.S. New China regulatory requirements also impacted demand for certain preservative formulations. In the aggregate, we estimate that on a year-to-date basis, these factors could have negatively impacted ASIs EBITDA by approximately 10% year-over-year. In this context, the team has taken meaningful action. More specifically, we have grown our sales at or faster than the market in Pharma, nutraceuticals, Coatings and Nutrition. We have raised prices over and above raw material inflation, we have reduced year-to-date SG&A spend by 9% on an FX-neutral basis and we have also reduced plant fixed cost by consolidating our production footprint and by improving reliability and reducing costs with the implementation of Ashland's production system. And while the net result is not what we expected earlier this year, we have achieved year-to-date earnings growth versus prior year for Ashland, a 90 basis point improvement in EBITDA margins and essentially flat Specialty Ingredients adjusted EBITDA margins on a year-to-date basis. Importantly, these results demonstrate that our actions and our portfolio evolution has led to much lower levels of cyclicality than in prior periods. Second, we are confident in our strategy and our future. In fiscal year 2018, we grew Ashland's adjusted EBITDA by 20% and adjusted EPS by 47%. The same operating levers have made a meaningful impact on our fiscal year '19 results to date. As we take a very early look at fiscal year 2020, the negative factors beyond our control should lessen substantially. We are on track to largely lap in Q1, the impact of negative FX and the Colgate reformulation. And while difficult to predict in terms of exact timing, we believe, current market weakness is short-term in nature. More importantly, we are taking aggressive action to drive improved results including, driving share gain through new product launches, renegotiating contracts in adapting our supply chain to offset negative tariff related impacts, reformulating and gaining approval for new products in response to new ingredient regulations, achieving the full impact of our $120 million cost out program by the end of the calendar year. And lastly, we continue to make strong manufacturing gains as we increase our focus on lean and plant reliability. Stepping back in the bigger picture from an innovation perspective, while we faced challenges this year, we view ongoing changes in Personal Care regulatory and consumer preference trends as an opportunity to leverage our core innovation and customer partnering skills to enable Ashland to ultimately grow our share position. We have made significant changes to our innovation process and resource deployment over the last two years. The result is an increase in the size of our new product pipeline and the impact of new product sales. We are currently working additional actions to redeploy existing technical resources to focus less on business maintenance activities and instead focus more on new product development. It is important also to note that we remain committed to meeting our 25% to 27% ASI EBITDA margin targets, through a combination of pricing actions, mix improvements, volume leverage and additional cost productivity initiatives. Thirdly, we remain on track to close the Composites and Marl business sale late this summer as anticipated. Following continued discussions with the FTC, we announced an agreement with INEOS to exclude the Maleic Anhydride business from the sale. The purchase price will be adjusted to $1.015 billion, and Ashland will retain all rights to the Maleic business including the retention of any subsequent sale proceeds. The Maleic business consists of one facility in Neal, West Virginia and generates annual revenues of approximately $75 million. We continue to work with INEOS to close the transaction, and preparations for the divestiture remain on track. We anticipate receiving remaining regulatory approvals shortly and expect to close the transaction by late summer. We continue to expect to use the net proceeds now estimated at roughly $930 million for debt repayment and reduction following the close of the transaction in support of our commitment to reduce our leverage to about 2.5 turns. So in summary, we had strong growth expectations for this fiscal year. Like others, we have had significant factors outside of our control. We have taken action and are implementing our operating strategy. Gains from our actions are helping to offset the current market dynamics, the result, while less than what we are targeting is year-over-year earnings stability. We intend to complete the portfolio transformation this summer, and we expect to return to more normalized sales and earnings growth, when the market demand recovers likely later this year. We believe we have a great business, a clear strategy and a strong team focused on driving results. I will now turn the call over to Kevin for a more detailed discussion of our third quarter results.
Kevin Willis: Thanks, Bill and good morning everyone. First, let's start with Ashland's results in the third quarter. Sales in the quarter were $641 million, down 4% from the year ago period including negative 2 points from unfavorable currency. Adjusted EBITDA in the quarter was $140 million, essentially flat year-over-year and including a negative $4 million foreign currency impact. The U.S. dollar remained stronger than in the prior year as has been the case throughout this fiscal year. Negative currency impact was led by the euro, which was $0.07 lower than the prior period and there was also an impact from currencies in certain emerging regions. In the quarter, we reported U.S. GAAP income from continuing operations of $23 million or $0.37 per diluted share. On an adjusted basis, we reported income from continuing operations of $0.77 per diluted share, which was consistent with prior year results. This compares to our revised outlook we provided in mid-July of $0.76 to $0.78 per share. Our effective tax rate in the quarter was 6%, which was below our expectation of 15% due largely to income mix and several favorable discrete tax items, you'll recall that results from continuing operations includes earnings from our Specialty Ingredients segment, plus our BDO facility in Lima, Ohio since Composites and Marl are now being reported as discontinued operations. Free cash flow during the quarter was $54 million compared to $61 million in the prior year. These amounts include $22 million in restructuring costs in the third quarter of fiscal 2019 and $8 million of restructuring in the year ago period. Including restructuring and transaction related payments of approximately $60 million, we now expect free cash flow in the range of$100 million to $110 million this fiscal year. The change from the previous outlook is due primarily to the reduction and expected earnings in the second half of the year plus the acceleration of approximately $20 million of cash restructuring and transaction related payments., Turning to Specialty Ingredients, as you have seen, we have revised our financial outlook for fiscal 2019 to reflect the market demand weakness that Bill just mentioned. We believe these factors are temporary in nature. While sales in July were weak, September quarter order book is in line with our current outlook. When market conditions improve, we should return to more normalized sales growth and mid-to-high single-digit EBITDA growth on a percent basis. Finally, I'd like to provide an update on the $200 million accelerated share repurchase program we announced during the June quarter. In May, we retired approximately 2.2 million shares and we expect the program to conclude in August. The final average price per share will be determined when the program is completed. I think it's important to reemphasize that this program in no way impacts our commitment toward reducing leverage to about 2.5 times following the closing of the Composites-Marl divestiture. At this point, I'll turn the call back over to the operator and we'll take your questions.
Operator: Thank you. [Operator Instructions] Our first question is going to come from Christopher Parkinson from Credit Suisse. Your line is now open.
Christopher Parkinson: You've been facing a few -- good morning, gentlemen. You've been facing a few unexpected challenges just over the past year in Personal Care, the Gantrez reformulation volume loss in oral care, magnitude of headwinds in sunscreen markets this past quarter. Can you just speak to whether or not you're facing an additional reformulations, your positioning in skin care market specifically Bioactives and some of the trends there and your ultimate ability to sustainably achieve 3% to 4% top-line growth, hopefully higher. If you could just hit on that and how integral PCs success is to reach above 25% margins, that would be very helpful. Thank you.
Bill Wulfsohn: Great. Well, thank you and very good question. As we have discussed in the past, as it relates to the Personal Care business, every year you have a certain amount of product maturing or attrition just as products go from new to new and improved down to less -- less relevant in terms of the overall product mix. Sometimes that happens more quickly than other years. We have strong R&D efforts to offset and ultimately outpace those dynamics. And if you look back, for example, in fiscal year '18 and really through the first half of fiscal year '19, the pace of the gains that we had were greater than the attrition, if you will, that came from reformulations or regulatory and consumer preferences. We are expanding our investment in the development of sustainable solutions for the Personal Care market, and we believe that that's essential to maintain a more consistent growth pattern within Personal Care. We think that, that will happen as we go into and through fiscal year 2020, we'll see the momentum building around that. And when you look at the margin profile, clearly, Personal Care is an important part of our overall portfolio. It's a great business and has very attractive margins. What I will tell you is that when we look at our overall plans for margin improvement, about 20% of the gains that we are targeting to get come from mix improvements and Personal Care is a part of that, but it is only a part of the overall mix, obviously continuing to move and have good growth in Pharma and to move from things like Construction and Energy into areas like Coatings and Personal Care is part of that equation. So we do feel good that, we've been able to outgrow the market based upon introducing new products at a faster rate than they have matured this year as we've been particularly hard hit, the Colgate reformulation was a very significant item. What's going on in China right now? We just have to reformulate our way through it to make sure that the products that we have are meeting all of their expectations for import and we're doing that, we're doing that right now. So it will take a little bit of time, but we're very confident we can sustain the growth rates were targeting.
Kevin Willis: And, Chris, this business from a Personal Care perspective should return to that 3%, 4% growth trajectory. I would expect on a run rate basis we'll hit that in fiscal 2020. That would certainly be our intention and your question around biofunctionals is a good one. That's a really important part of our Personal Care business, not only because of the actives that we make which are really down the middle from a sustainability perspective, provide a lot of functionality to our customers, but they also -- they also result in certain amount of pull-through in other product categories in Personal Care. So -- and we're very focused on that biofunctionals business because it's -- while it's relatively small, it is a very important part of Personal Care especially skincare. So we're going to continue -- continue to be very focused on that business.
Christopher Parkinson: Thanks. And just as a quick follow-up, just you're also moving -- you are moving in the right direction on costs, but can you just comment on your updated views regarding your global cost structure from the top to bottom, what -- do you think you're doing well? What you feel your team could still potentially do better and just given the normalized pricing and production environment, given the current portfolio, just how should we think about further broader targets of where ASH needs to be, in another two to three years out? Thank you.
Bill Wulfsohn: Sure, sure. So, not sure how you define top to bottom, but if I start with the kind of corporate support groups we, through this $120 million overall cost reduction program, are reducing those expenditures by, in the range of 25% to 30%. So we're clearly taking aggressive actions in this area. We see that when we complete our program, which will be at the end of this calendar year, we'll be at run rate without amortization of around 16% to 17% to sales. And we do think that there is an opportunity or we will focus on driving that down another 100 basis points or so. And that can be done through getting volume leverage on what -- on the infrastructure that we have, and it can also be because we're continuing to focus on further cost productivity efforts. We're clearly very much engaged in the execution of the current reduction program and it's interesting to note that we've made a lot of progress in terms of reducing what are, in theory, stranded costs while we still have the business, the earnings, albeit in discontinued operations. So from our corporate standpoint, we're making good progress, but I think that we would focus on continuing to drive productivity. In the commercial and technical area, of course, you always want to drive productivity, but I would say that -- and that's the engine for making the company grow stronger. And I think we want to drive and enhance the impact that we have from the investments that we're making. I don't think that, that is the area we should go to for will say sizable cost reductions. We need to make sure we're just getting the most that we can from the investments that we're making. And then finally, while it's not necessarily in SG&A in our manufacturing environment, we've really done a nice job of driving productivity, not just on the plant floor, but also through plant consolidations. Also, the way we run the plants, combining, if you will, regions or asset types so that we can better leverage our infrastructure and reduce our costs. And I think there is more opportunity for us in that area as we move forward. So I think we're making good progress, but I think there's still more opportunity and we have work to do.
Kevin Willis: Yes, I would agree with that, and getting to that 25% to 27% Ingredients margin target is going to require a combination of good profitable solid growth in the business in our end markets, especially the more consumer-oriented end markets, but it's also going to require continued cost discipline and a real focus on driving productivity. So improving the overall cost structure as we go. Those two things are going to have to work in concert to get us where we need to be.
Operator: Thank you. And our next question comes from John Roberts from UBS. Your line is now open.
John Roberts: When you talk about temporary issues, do you mean a supply chain inventory correction or do you think something else temporary is going on?
Bill Wulfsohn: Well, what I'm referencing is when you look at -- and more specifically in the Personal Care area, some of the things that impacted our results in the quarter. It has been a weak demand profile for sunscreens this year in both the Europe and the U.S., and the season will be coming to a close here fairly soon. In addition, as we mentioned that tariffs, say, for example, on sunscreens that we export from China into the U.S., they've been hit by 25% tariffs and that affects the competitiveness of those products. Now, that's just a portion of what we sell and actually we've been able to already negotiate through the increased tariffs on a substantial part of our customer base. So we anticipate that by adjusting our supply chain and working through with our customers, we'll get through the dynamics on that. And as I also mentioned, when it comes to issues like preservatives, that might have new requirements for import into China, ultimately, we view those as opportunities for us to innovate to provide solutions and it takes a while to commercialize those and it takes a while to get approvals for those, but we're confident that we can make sure that those are not structural in nature.
John Roberts: And how hard do you think it will be to get a fair value for the Maleic plant and how much of the output of that plant goes to the Composites business being sold?
Kevin Willis: Yes, it is somewhat integrated with the Composites business, but I mean as you know, it's a commodity business, top line's about $75 million and that's third-party sales today and we're still -- it's a relatively new development, John, in terms of this through real-time and we're still evaluating how we're going to ultimately approach the business. But based on past history, and our connectivity to the marketplace around M&A, I don't think it's going to be difficult to achieve a sale of that business [indiscernible].
John Roberts: Could you give us the gross sales including the inter-company sales to Composites?
Kevin Willis: Yes, frankly. Yes, that is the number, $75 million.
John Roberts: That's the gross.
Kevin Willis: That's the gross.
John Roberts: Okay, got it. Thank you.
Operator: Thank you. And our next question comes from John McNulty from BMO Capital. Your line is now open.
Bhavesh Lodaya: Hey, good morning. This is Bhavesh Lodaya for John, if I heard correctly on the order book commentary, it sounds like early indications are looking for an improvement in fiscal 4Q. So as you think about the next few quarters, obviously, you will get the benefit of the additional cost savings, but can you add some color on the moving pieces assuming there is no change in the current macro, just trying to get a sense of the earnings part of the business over the next few quarters.
Bill Wulfsohn: Okay. So I would say that we have assumed and are assuming that we don't see substantial improvements in the overall macro environment as we enter into Q4. We are taking actions as we talked about. Kevin also referenced that the month of July started off fairly weak. But the order book began to fill up in a way, which is consistent with our outlook. So we feel good about that. In terms of moving forward into fiscal year '20, of course, we will comment on that in our next call in more detail, but as we referenced in some of the things that have impacted us. We will lap and other things we will be addressing in a way that we believe there'll be less substantial in terms of impact on our results. And so we'll provide more of an update. What's really difficult to predict is general demand conditions around the globe, in terms of the timing for more business confidence and as such, we'll say more aggressive buying behavior and an inventory stocking and may come sooner, or it may take a few quarters. It's difficult to predict right now. So, we'll leave it at that.
Bhavesh Lodaya: And then you mentioned renegotiating some of the contracts in your prepared remarks, can you give us some color as to what you've done so far, which businesses they are focused in, how has the reflection been?
Bill Wulfsohn: Yes, in that particular case, I was referencing specifically sunscreens and dealing with the tariff related to exports from from China. As you can imagine, when that came into place from a customer standpoint, that's a -- it's a pretty big issue and -- and of course, it's our objective to -- to pass appropriately those costs on. And so, it's taken some time to work with customers as they assess their supply situation, the role that we play in their supply chain, both in terms of not just product but innovation and so we've been making progress in terms of passing that through. We've been able to pass through, let's say roughly half of the impact that we've had so far, and we're working to bring that level up or as is appropriate to change the supply chain, so we can apply the tariff on the period.
Bhavesh Lodaya: Got it. I appreciate the color. Thank you.
Operator: Thank you. Our next question comes from David Begleiter from Deutsche Bank. Your line is now open.
David Begleiter: Bill, can you -- just on ASI EBITDA in 2020, why wouldn't the growth be above mid-to-high single-digits given the depressed base in 2019 in some of the potential one-offs we saw this past year?
Kevin Willis: Well, one of the things that we will have in 2020 is carryover from the cost-out program. Some of that -- we won't have full year benefit this year. We will have full year benefit next year. A lot of that cost out and so that would be basis for what I would call initial growth over and above where we are right now, where we'll likely end the fiscal year. As you look at end market demand, part of what we're going to have to work through and figure out is kind of what 2020 is going to look like from a top line perspective and what we can do to manage and improve our mix on an overall basis, really driving toward more of the the consumer facing areas like Personal Care and Pharma. As Bill talked about on the sunscreen front, we are going to have to -- have to deal with some of that from a tariff perspective and -- and some reformulation but team's on that. So as I think about 2020, certainly the mid single digit growth should be achievable and really the rest of it's going to depend on end market dynamics and what we see there. And so more to come on that, but we're certainly pushing the team hard from a growth perspective on driving that end market growth, whether it's share gains, new products with higher margin profile, etc.
David Begleiter: Very clear. And just, sorry, back to sunscreen again. Are you seeing any impact from this consumer backlash against chemical based sunscreen formulations?
Bill Wulfsohn: It's -- I think it's a limited part, of course it does affect, will say, demand in those areas and why they have some limits and in a couple of areas. But I think that's not as fundamental as the factors which we've referenced in our results now. So it's, obviously an important issue that we want to stay close to. But, I wouldn't point that out as the primary driver for the sunscreen results we have in the quarter.
Operator: Thank you.
Bill Wulfsohn: I'm sorry. A quick reference also because I think it's important that, that dynamic that we're referencing is really primarily a U.S.-centric dynamic. So we have a global sunscreen business and as we talk about some of these factors, it's -- that you're referencing to U.S. driven dynamics and demand.
Operator: Thank you. Our next question comes from Jim Sheehan from SunTrust. Your line is now open.
Jim Sheehan: Good morning, thanks for taking my question. On the pricing versus raw materials fronts, are you finding pricing more difficult to achieve given the more lackluster demand environment and how do you expect to execute on price increases going forward?
Bill Wulfsohn: Sure. So not surprisingly, when you're in a strong inflationary environment, it's easier, I'll say, to pass those along in terms of customers understanding the rationale. If we step back from that though, we really need to and have been focusing on better defining and selling the value that our solutions provide in the marketplace and with that continue to price accordingly. As we introduce new products, while there's not per se pricing that does positively impact our overall mix. And so we are focused on sustaining pricing actions. I would say that from a supply demand standpoint that is not quite as relevant especially in places like Pharma as we move into some parts of our business, you may see that dynamic more, but we've done a really good job of filling up for example our HEC system we're up on, again this year, I think it's about 6% in terms of actual output and sales from that system. And what that does is that puts us in a position to also look at opportunities to upgrade the mix. So clearly it's a focus. It's always a challenge for the commercial team, but we view it right now as -- we're not in a commodity dynamic, let's leave it as that.
Jim Sheehan: Very helpful. And it looks like on Pharmachem, you may have pulled some orders forward or that you made some reference to changes in order timing there, are you going to be giving some of that back in the fiscal fourth quarter, how do you see orders shaping up in Pharmachem?
Bill Wulfsohn: Yes, it really is, there were some timing of some orders and with that in mind, we would expect that we won't have the same type of growth that we saw in Q3 and Q4. And -- but in the aggregate, I think you can see we've been making progress in that business and we'll continue to do so.
Jim Sheehan: Thank you.
Operator: Thank you. And our next question comes from Mike Sison from KeyBanc. Your line is now open.
Mike Sison: Bill, I was wondering if you can maybe walk us through, how the -- how you're managing the business going forward, meaning you're giving us more information by end market and is the structure of your reporting teams coming from each of these little businesses, Personal Care, Pharma Care and yes does each of these units have its own finance accounting sales, and I'm just kind of curious of kind of how the operating structure's set up now going forward now that you're just Specialty Ingredients?
Bill Wulfsohn: Sure. Good question. Okay. So we have, if you will, functional leadership that goes across the business and for example, Vito Consiglio, who is our Chief Commercial Officer ultimately has responsible -- responsibility for all of the end markets and we have leaders of those end markets, and of course they focus on the imperatives to succeed in those spaces. They also have technical resources, which are aligned to leverage our technology across our -- from across the company into their respective markets. They have limited, if you will, financial resources for example, Vito has financial resources to help him assess his business, but we don't build a whole infrastructure around each one of those markets like Pharma and Personal Care, it's really more at the group level. So we have a strong commercial focus and strong focus on commercial contribution, the accountabilities are very clear in terms of revenue, in terms of pricing versus raw material inflation and also driving the needed absorption to make sure that we have well-utilized facilities. Below that we are -- in addition to that, we have our operations and we run our operations, some of them -- facilities are of course different from each other. But we run them as a -- as a network. We track the profitability of each one of the core technology platforms that we have and have teams that review with the executive leadership team on a regular basis the actions that we can take to make our HEC or Klucel or PVP platforms more profitable. And, of course, we have an R&D function which over time, while we have a strong central leadership for all of our tactical resources. We've tried to deploy those resources much more closely aligned with the specific leaders in the end markets because we really need to focus on driving solutions that are relevant in the marketplace. And we've also built out our regional network, because part of that is, as you can appreciate the needs that we have in one region are different than another from a technology standpoint. And then behind that the broader infrastructure that we might call supply chain, corporate purchasing and so forth is really more central or centrally managed. I hope that was enough detail but not too much.
Mike Sison: Yes, that's great. Thank you. And I guess, Kevin, in terms of your kind of soft framework for 2020, to get to the midpoint, it sounds like you don't need a lot of economic recovery, you can sort of get there on minimal sales growth and if you -- is that right and then to use that sales growth, how much does that come down to the bottom line given you've got a lot of cost savings and such and could potentially drive some upside to your initial framework?
Kevin Willis: Yes, Mike, certainly the carryover from the cost -- cost-out initiatives will help provide a nice base platform. I think if we continue to see a weak demand -- if the weak demand environment were to persist, which we don't believe is going to be the case, just based on kind of all the macro things we see out there, but if it were to persist, yes, that would put us in low to mid single-digit growth -- EBITDA growth in 2020. If we return to more normalized -- a more normalized environment If that were to happen for the full fiscal year, you'd be high single-digits potentially low-double and the likely outcome is probably going to be somewhere in the middle of that. I mean we're still very much working on our 2020 plan from a commercial perspective and SG&A perspective and an operations perspective. And so it's -- we still have a lot of wood to chop when it comes to that. But our expectation would be this -- obviously be to grow EBITDA in 2020 and we feel like we've got a nice tailwind there just with the cost-out and we'll continue to leverage over and above that to help drive earnings higher to the extent that we see the macro -- macro ability to do it.
Operator: Thank you. And our next question comes from Laurence Alexander from Jefferies. Your line is now open.
Dan Rizzo: Hi everyone, this is Dan Rizzo on for Laurence. How are you?
Bill Wulfsohn: Good. Good morning, Dan.
Dan Rizzo: Good morning. One question, you mentioned the product pipeline, have you ever quantified how big that product pipeline is? And two, do you use a vitality index at all?
Bill Wulfsohn: Yes. So what we have said is that we have close to 30% of our sales coming from new and differentiated products we -- a significant, we will say over one-third of that is developed internally. Some of that comes from acquisitions that we make that enhance our technology base and some of them are very proprietary patented type products that have a longer cycle, say for example in the Pharma market or places where it takes a while to qualify. And we do track our vitality index and we've been growing not only that, but we have an equation that we use to -- to really look at our productivity. We look at the size of the pipeline, we look at our technical hit rate. We look at our sales impact relative to what the expectations are, and we look at the time that it takes to drive a project through the system. And we haven't shared more specific details. It'll be a little hard in this call. But we've actually made improvements across each one of those areas. So we feel good that we're making progress, but I will tell you also that I think that this is a real key for our future to accelerate growth and reach our full potential, is that we do need to continue to enhance the impact of innovation in our sales mix and we think that we have the capabilities and we have the systems and we're working as a team to drive that and I think that will help us to grow faster and allow us to better buffer or deal with the types of things that we've faced over the course of this fiscal year.
Dan Rizzo: And one of the -- you mentioned sustainability or sustainable solutions in Personal Care is kind of a growth driver. Can you just give us an example of how you guys kind of fit into the sustainability, what you offer and what it means -- just kind of illustrate it?
Bill Wulfsohn: Yes. So there are lots of different definitions, as you can imagine. In the Personal Care area, there is a broader kind of thought process or matrix, if you will, that has to do with the source of the materials, whether they are naturally sourced materials one dimension, and the other is the degradibility -- biodegradability of those materials and so as you can imagine, when you talk about things like HEC and you're starting with cotton linters and wood pulp, it's great, because we're starting with a natural-based material. We have really focused extensively on the biofunctionals business, it has been a big portion of the growth that involves our business in Vincience, it involves our Zeta Fraction business. These are the areas that are of keen interest to our customers and importantly not only does it help us to grow our sales overall, but or in those specific areas, but it makes us a more relevant and important partner to our customers, allowing us to drive a greater position for, we'll say, the broader range of products. So I would say the great majority of our research and development efforts are really focused on those materials that have stronger biodegradability and are from natural-based products or sourced from natural-based products.
Operator: Thank you. [Operator Instructions] Our next question is going to come from Mike Harrison from Seaport Global Securities. Your line is now open.
Mike Harrison: I was wondering if you can break out the revenue growth or decline in Personal Care between skincare, hair care and oral care in the context of that overall 12% year-on-year decline?
Bill Wulfsohn: Yes, well, of course, and not surprisingly oral care has been a challenge this year as it relates to the Colgate business and we also referenced that in skincare, we've had challenges with the sunscreen. I'd say overall -- and we did see just in general a weaker Personal Care demand environment than we've seen in previous quarters and we think some of that is really a thumb rule and some of that, as we've talked about, will need some specific, we'll say, product and customer solutions.
Mike Harrison: All right. And was, sort of, hair care up or was hair care down?
Bill Wulfsohn: Hair care would have been down in the quarter really driven by a couple of customers. L'Oreal and Henkel demand.
Kevin Willis: We actually saw strong hair care demand in Asia in general, China included. Rest of the world was definitely weaker though.
Bill Wulfsohn: Yes. And we had positive growth in Q2. So we had growth in this space.
Mike Harrison: And then I was also wondering in Personal Care, are you seeing any trading down happening in past downturns, you've seen the consumers are not willing to pay up for very expensive products where you tend to be better positioned or they tend to use your Ingredients more intensively. But I also know that you've made some efforts to improve your position within some of the mid-tier products. So, are you seeing that trading down and maybe talk about how you're positioned to weather that type of phenomenon, if it were to happen?
Bill Wulfsohn: Yes. So when we look -- what I would say is that, we have not seen as much of that as we've seen maybe in the past and as you say, we've really tried to change our mix in China. We've seen as, Kevin just referenced some good growth and in skin care, we've seen in rest of Asia some growth in hair care. Latin America has been a little bit softer on the Personal Care side. So that may be a little bit of the dynamic that you're referencing there, but I really think the items that we identified and then spoken about are the primary drivers of what's driven our results and the opportunities that we have to improve our results and really get back to the growth we're targeting.
Mike Harrison: Okay. And then one last one on the Coatings business, I'm just wondering if you're seeing some improvement -- I know that North America has been relatively weak and the improvements there, and do you have a sense of kind of where your customer inventory levels are as we come out of the Fiscal third quarter? Thanks.
Bill Wulfsohn: Sure. Well, I talk with the team pretty much every day about what they're seeing from an order standpoint and so forth and we actually believe that our growth in Q3 and year-to-date has been stronger than the market. Some of that's been really based upon efforts that we've had in Asia. We're making really good progress of gaining share there with Nippon in China, which is outstanding and helping us to drive growth overall, we have defined supply positions with the primary coatings manufacturers within our architectural coatings manufacturers in the U.S. and other parts of the globe. And I would say that, that's a group that is more cautiously optimistic about what the fall will bring than maybe other parts of our business. There is a little more sense of optimism that at least from the order builds that we're seeing, we're seeing a little bit of a pickup in demand.
Operator: Thank you. And our next question is going to come from Dmitry Silversteyn from Buckingham Research. Your line is now open.
Dmitry Silversteyn: Good morning, thanks for taking my question. A couple of things, we noticed that the Adhesives business was a negative grower for you in this quarter. It was one of the businesses, particularly, in sort of the consumer, industrial border line, if you will that was actually doing well. So can you talk about what you're seeing in your end markets for your adhesives business that has changed here and how we should think about that for the second half of the year?
Bill Wulfsohn: Sure, so yes, we had a nice growth last year. We had about 4% growth in Q1 that flattened a bit in Q2. And I think what you see is that, we've got a broad base of end markets pressure sensitive adhesives that go into food packaging and applications like that, which tend to be -- don't have a cyclical dynamic to it. We do sell some of our adhesives materials into transportation, automotive and the like and we also provide in construction, and if you will, the boards that are put together, the sandwich boards that are used in construction. So, we're seeing a little bit of demand weakness in those areas and I think those are the -- the areas that are primarily driving the negative demand that we saw and once again, we believe that, that will not sustain itself, that we'll get back to more normalized performance as the market stabilizes a little bit, comes to equilibrium and starts to grow. So, transportation and building those portions of the adhesives business really is what drove the negative percent.
Dmitry Silversteyn: Got you. Is the adhesives business more U.S.-centric or more European-centric compared to your ASI business overall?
Bill Wulfsohn: Much more U.S.-centric, we've been seeking to globalize it and we have a position in Europe. But it's really primarily a North American business.
Dmitry Silversteyn: Got you. Okay, thank you. And then just one more question, if I may, if you look at the reduced guidance that you provided over the past year or so -- every time it's been maybe something new or just something getting a little bit worse, it was okay. If you kind of have to look back and look at sort of the rank of headwinds that you've experienced whether it was foreign exchange, whether it was cost, whether it was a slowdown in particular end market demand, kind of, how should we think about this coiled spring sort of reversing itself as we get into 2020 and 2021. Can you sort of size for us the impact about each of these headwinds on you over the past year or so?
Bill Wulfsohn: Yes. So and I look to Kevin here to correct me if I'm misstating. But last year, in fiscal year '18, we didn't provide any revised guidance for ASI. We had a range that was within -- started at the beginning of the year we narrowed as we went through the year and we actually ended up right in the middle of the range, so there was no recast last year. So I'm not specifically sure what you're referencing there. You're probably referencing... pardon me?
Dmitry Silversteyn: As at the last three quarters.
Bill Wulfsohn: Yes. Well the last two-- Yes, right. Okay, fair enough and I think that that is specifically the things that we have been talking about, which has been overall the reduced demand that we've seen. That's what's driven the revisions, it's not dissimilar to what a lot of other companies have seen and the trade we've talked about those. When you look at from a year-to-date basis that you have roughly half of the negative impact which, by the way, we anticipated came from FX and Colgate and the other half is really related to overall market demand that weakened as the year went on. And that's -- the market demand portion is what really drove our change in outlook that we made at the end of Q2, and the end of Q3 here.
Dmitry Silversteyn: Got you. So, basically it's the lack of recovery that perhaps you've anticipated and other companies have anticipated that's behind the last two revisions versus the Colgate issue obviously, and foreign exchange that you're able to sort of bracket appropriately.
Kevin Willis: That's right, Dmitry. That's correct.
Dmitry Silversteyn: Okay. I appreciate it. Thank you.
Bill Wulfsohn: Thank you.
Operator: Thank you. And I'm showing no further questions. I would now like to turn the call back to Seth Mrozek, Director of Investor Relations at Ashland for any further remarks.
Seth Mrozek: Thank you, Justin. Thank you all for your time this morning. Hope you have a great day. We'll speak soon.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This includes today's program. You may all disconnect. Everyone have a great day.